Operator: Good day, ladies and gentlemen, and welcome to the John B. Sanfilippo & Son Incorporated Fourth Quarter and Fiscal 2017 Year-End Operating Results Conference Call. At this time, all participants are in a listen only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to introduce your host for today’s conference, Mr. Michael Valentine, Chief Financial Officer. Sir, you may begin.
Michael Valentine: Thank you, Geronimo. Good morning, everyone, and welcome to our 2017 fourth quarter and fiscal year-end earnings conference call. Thank you for joining us today. On the call with me today are Jeffrey Sanfilippo, our CEO; and Jasper Sanfilippo, our COO. Before we start, we want to alert participants that we may make some forward-looking statements today. These statements are based on our current expectations and involve certain risks and uncertainties that are inherent in our business. The factors that could negatively impact results are explained in the various SEC filings that we have made, including Forms 10-K and 10-Q. We encourage you to refer to these filings to learn more about the risks and uncertainties that are inherent in our business. I’ll start the call by covering financial highlights for the 2017 fourth quarter and fiscal year. The current fourth quarter net sales decreased by 12.9% to $201.6 million, compared to net sales of $231.5 million in the fourth quarter of 2016. The decrease in net sales in the quarterly comparison was primarily due to a 9% decrease in sales volume. Most of the sales volume decline was attributable to the additional week in the prior year’s fourth quarter. Sales volume decreased in both the commercial ingredients and consumer distribution channels. However, those declines were partially offset by an increase in volume and the contract packaging distribution channel. The sales volume decrease in the consumer channel was mainly due to a decline in sales of Fisher recipe nuts, which was offset in part by increased sales of private brand trail mixes. Before considering the impact on sales volume from the additional week in last year’s fourth quarter, sales volume for our branded products in the consumer channel changed as follows: Fisher recipe nut sales volume decreased by 19.5%, mainly due to ongoing inventory reduction initiatives at one customer. Fisher snack nut volume was relatively unchanged as volume declines for inshell peanuts at one customer were offset by volume growth in other Fisher snack nut items. Orchard Valley Harvest and Sunshine Country produce brands increased by 6.3%, which was driven by a 13.1% increase in sales volume for Orchard Valley Harvest brand. The Orchard Valley Harvest volume increase resulted from increasing unit count in our multi-pack items and also distribution gains with new and existing customers. The sales volume increase in the contract packaging channel was primarily due to distribution gains and product line expansions implemented by several of our existing customers. The sales volume decrease in commercial ingredients channel was mainly due to the loss of a bulk almond butter customer in the second quarter of fiscal 2017. Decline in sales of bulk walnuts also contributed to the sales volume decline in the commercial ingredients channel. The decline in bulk walnut sales occurred, because we did not have excess walnut inventories available for sale, as was the case in last year’s fourth quarter. Fiscal 2017 net sales decreased by 11.1% to $846.6 million, compared to fiscal 2016 net sales of $952.1 million. The decrease in net sales in the yearly comparison was primarily due to a 7.6% decrease in the weighted average sales price per pound, which resulted from lower selling prices for almonds and walnuts. A 3.7% decrease in sales volume also contributed to the decline in net sales. Approximately, half of the sales volume decline in the year-to-date comparison was attributable to the additional week in last year’s fourth quarter. The remaining sales volume decline occurred in the commercial ingredients channel due to the reasons we cited in the quarterly comparison. Sales volume increased slightly in the consumer channel due to increased sales of Fisher recipe nuts and Orchard Valley Harvest produce products. The sales volume increase in the contract packaging channel also occurred for the same reasons we cited in the quarterly comparison. The current fourth quarter gross profit margin increased to 16.7% of net sales from 14.5% for last year’s fourth quarter. Gross profit was relatively unchanged at $33.6 million. The 220 basis point increase in gross profit margin was due primarily to lower acquisition costs for almonds. Fiscal 2017 gross profit margin increased to 16.8% of net sales from 14.4% for fiscal 2016. Gross profit increased by 3.2% to $141.9 million. The increases in gross profit and gross profit margin were also primarily due to lower acquisition costs for almonds, as well as improved alignment of selling prices and acquisition costs for pecans and walnuts. Total operating expenses increased by $800,000 and total operating expenses as a percentage of net sales increased to 10.9% from 9.2% in the quarterly comparison. The increase in operating expenses as a percentage of net sales was primarily due to a lower net sales base. The increase in total operating expense dollars was driven by two litigation settlements that accrued in the current fourth quarter, one favorable and one unfavorable, and these settlements resulted in a net expense of approximately $800,000. Total operating expenses decreased by $2.6 million, and total operating expenses as a percentage of net sales increased to 9.9% from 9% last year. The increase in total operating expenses as a percentage from net sales also resulted from a lower net sales base in the year-to-date comparison. The decrease in operating expenses was driven by reductions in compensation, broker commission, product sampling and advertising expenses. The decrease in operating expenses was partially offset by increased shipping expenses and the litigation settlements we mentioned earlier. Interest expense declined to $800,000 for the fourth quarter of fiscal 2017 from $900,000 in last year’s fourth quarter, and interest expense for the current fiscal year fell to $2.9 million from $3.5 million in fiscal 2016. The declines in interest expense in both comparisons were primarily attributable to lower debt levels. As a result of the above, net income decreased by 7.6% to $6.7 million in the quarterly comparison, and net income for fiscal 2017 increased by 18.8% to a record $36.1 million. Taking a look at inventory. Total value of our inventories on hand at the end of the fiscal year increased by $25.8 million, or 16.5%, compared to the total value of inventories at the end of fiscal 2016. The increase in total value of inventories was primarily due to higher quantities of pecans, walnuts and peanuts, in addition to higher acquisition costs for pecans and peanuts. Additionally, increases in the quantities of finished goods and work-in-process inventories contributed to the increase in total inventory value. The weighted average cost per pound of raw nut and dried fruit input stocks on hand at the end of the current fourth quarter increased by 5.5%, compared to the weighted average cost of input stocks at the end of last year’s fourth quarter. This increase was mainly attributable to higher acquisition costs for peanuts and all major tree nuts, except almonds. And now, I’ll turn the call over to Jeffrey Sanfilippo, our CEO, who will provide additional comments on our performance for the current quarter and fiscal year. Jeff?
Jeffrey Sanfilippo: Thank you, Mike. Good morning, everyone. I want to congratulate our management team and all of our dedicated employees on achieving another consecutive year of record performance. As Mike mentioned, gross profit reached a record $141.9 million, net income reached to a record $36.1 million, and earnings per share reached a record $3.17 in fiscal 2017, very strong performance when considering net sales only reached $846.6 million this year, due to a price deflation and lower sales volume. The management team continued to focus on margin enhancement initiatives, such as pursuing more value-added product sales and supply chain cost savings with continuous improvement projects throughout our facilities. For the quarter, we equaled last year’s fourth quarter gross profit due to significant growth for private brand trail mixes, continued growth for our Orchard Valley Harvest brand and another strong quarter in contract packaging. It is important to call out for the quarter and the fiscal year-end, the strong results of our Fisher and Orchard Valley Harvest brands loaded to category dynamics. Now we’ll cover this when we review category updates. We executed on our strategic plan during fiscal 2017 by expanding our distribution and product offerings for our Fisher recipe nuts and Orchard Valley Harvest produce nuts and by expanding distribution of peanuts and trail mixes to contract packaging customers. In the first quarter of fiscal 2018, we paid an annual dividend of $0.50 per share and a special dividend of $2 per share, the first dividend after adoption of our new dividend policy. These most recent dividend payments marked the sixth consecutive year that we have paid dividends to our stockholders. We are very pleased to return cash to our stockholders earlier in the fiscal year through these dividends. Going forward, it’s our intention for the Board of Directors to consider the payment of dividends and their amount in the first quarter rather than around the time of our annual meeting. While it was a record year for the company, we did face challenges. In addition to the extra week, Mike noted earlier, our volume declined due to the loss of a significant commercial ingredient customer as we talked about throughout the year, and there were other headwinds with two major private brand customers changing elements of their snack nut programs that negatively impacted sales volume. But our sales, marketing, R&D, and operation teams worked hard to make up these negative volume trends and developed new business with other customers and in other channels. While we still cycle against some volume losses from the prior year, we have strong growth plans in place for fiscal 2018. I mentioned last year on this call that our management team is keenly aware of the importance of margin expansion, and we demonstrated that this past year. While the industry experience volatile nut market prices and some margin erosion, we actually enhance margins. This is a testament to our procurement team working with operations, sales, marketing and finance to better align our pricing with inventory positions and focus on what matters most to provide value and service to our customers and consumers. We continue to build our brands and transform our business and that of our customers with product, packaging and processing innovation. Last year at this time, I discussed the change in our growth strategy. We shifted some resources from our international expansion plans to focus on expanding our consumer reach by entering new distribution channels, launching differentiated products and investing in new businesses. We were successful in executing new programs towards the end of fiscal 2017 that have started shipping in the first quarter of 2018. Examples of the new vending items and e-commerce for Fisher, we are pursuing club store distribution for Orchard Valley Harvest brand and the commercial ingredients channel has gained new distribution with several noncommercial accounts. And the contract manufacturing division has done a great job, expanding products with several key customers in this channel. Turning to category updates, I’m happy to share some of the brand results with you, both for the quarter and also for the fiscal year. As always, the market information I’ll be referring to is IRi-reported data and this call covers the period ending July 2, 2017. When I refer to Q4, I’m referring to 13 weeks of the quarter ending July 2. References to changes in volume or pricing versus the corresponding period one year ago. We look at the category and IRi’s total US definition, which includes food, drug, mass, Walmart, military and other outlets unless otherwise specified. And when we discuss pricing, we are referring to average price per pound. Breakouts of the recipe, snack and produce nut categories are based on our custom definitions developed in conjunction with IRi. And the term velocity refers to the sales per point of distribution. First, let me review some category dynamics. We saw an increase in dollar sales for the quarter and no change for the fiscal year, a slight increase in pound volume occurred in both the fiscal year and the quarter. The total nut category increased sales dollars and pound volume by 1% in the fourth quarter. Overall, prices in the fourth quarter were flat versus the prior year. For the quarter, prices decreased in pistachios walnuts and almonds by 13%, 11% and 10%, respectively, versus last year, and that resulted in a 28% pound sales increase for pistachios, 9% pound increase for walnuts, and an 8 pound increase from almonds. Looking at the entire 2017 fiscal year, the nut category was flat in dollar sales and increased 1% in pound sales volume. Category pricing during the fiscal year decreased 1% versus the prior year. Price changes were most visible on walnuts, pistachios and almonds, which decreased 16%, 8% and 7%, respectively, and drove increases of 7% on walnuts, 23% on pistachio volume and 5% on almond volume. Pecans increased in price versus last year by 6%, which resulted in a 4% decrease in pound volume. Now let’s talk about each category in a little more depth, starting with recipe nuts. In Q4, the recipe nut category increased 1% in dollars and 8% in pounds. A 12% decrease in walnut prices and an 11% decrease in almond prices drove an 11% increase in pound volume for walnut and a 5% increase in almond volume. For the fiscal year, the recipe category struggled, the category decreased 9% in dollar sales and 4% in pound sales. Pricing on pecans increased by 8%, resulting in pound volume decline of 9%. Even with the price decrease of 3% with almonds, pound sales still decreased 17%. We attribute this to consumers migrating to other parts of the store to purchase almonds. A significant price decrease on almonds of 18% versus a year ago and pound volume gains on walnuts of 7% could not make up the underperformance of pecans and almonds in the category. Our Fisher brand had a very strong year and continues to gain momentum behind our marketing and sales efforts. Our brand equity efforts on Fisher helped the brand to deliver growth in Q4 and on the year. Fisher recipe nuts increased 8% in dollar sales and 12% in pound sales for the quarter versus last year. As a result, Fisher’s share in the category increased 0.09 versus last year. The growth was driven by an increase in distribution, which shows retailers are embracing that Fisher brand, Fisher recipe nuts have an ACV now of net 59%. Fisher recipe nuts channel sales volume was down 19.5% in the quarter, despite strong retail consumption, due to ongoing inventory reduction initiatives at one customer, as Mike mentioned earlier. For the entire fiscal year, Fisher recipe nut dollar sales increased 9% and 13% in pound volume, resulting in the brand share increasing 4 points versus last year. This increase builds on a 2.6% share point growth in fiscal 2016, with the brand share growth over the past few years, Fisher continues to be the number one brand in the recipe aisle in the All Outlets MULO measurements. Now let me turn to the snack category. In Q4, the snack category decreased 2% in dollars and 1% in pounds. For the fiscal year, the snack category decreased 2% in dollars and declined 1% in pounds versus last year. Fisher snack increased 5% in dollar sales and a 11% in pound volume in Q4. The increase was driven by increase in pound velocity and an increase in ACV at a major account. Fisher snack sales dollars decreased 3% in fiscal 2017 versus last year, while pound volume increased by 9%. Pricing for Fisher snack decreased, which increased pound volume sales and depressed dollar sales. This was mainly due to a shift in product mix from tree nuts to more Fisher peanut sales. Turning to the produce category. In Q4, our produce business comprised Orchard Valley Harvest and Sunshine Country increased 6% in dollar sales and 5% in pound sales. This performance was due to increased retailer acceptance of our brands, which resulted in a 16% growth rate in total points of distribution. For the fiscal year, a similar story took place. Dollar sales grew 32% and pound sales increased 34%. Acceptance among retailers again was a key as total distribution points increased 16%. Orchard Valley Harvest business had a strong Q4 sales, increasing 13% in dollars and increasing 8% in pound sales. Our distribution increased 14% as we have continued to build the cores business distribution by launching new products, such as our Omega 3 and dark chocolate covered fruits, both in multipacks. For the fiscal year, a similar story took place. Dollar sales grew 52% and pound sales increased 55%. The growth was driven by an increase in distribution of 12% and velocity increase of 34%, as we continue to upsize our business in the marketplace. Sunshine Country, our other brand in the produce section did not perform as well as Orchard Valley Harvest for Q4, declining 7% in dollars and 1% in pounds. The brand decline in sales as we’re lapping aggressive merchandising last year at a key customer. For the fiscal year, dollar sales grew 5% and pound sales increased 10%. And this growth was driven by an increase in distribution of 28%. In closing, I’m proud of our fiscal 2017 results and I thank our team for their leadership and executing our strategic growth plans to build our brands and create value for our customers and our stockholders. These accomplishments resulted in a record $3.17 earnings per share and a strong financial position allowed us to pay two special cash dividends with a combined total of $56.5 million. This is already the second period into fiscal 2018 and our management team and every one of our employees is focused on what matters most. Each department knows the major focus is volume growth this year, and we will achieve this by continuing to invest in people, product, packaging innovation and new production capabilities to diversify and differentiate our portfolio, grow our brands and provide value-added snack, produce, and recipe nut solutions for our customers and consumers. I want to again thank and congratulate our employees for their commitment and hard work over the last year. And to our stockholders, I thank you for maintaining your trust and support in JBSS. We appreciate your participation in the call, and thank you for your interest in our company. I’ll now turn the call back over to Mike.
Michael Valentine: All right. Thank you, Jeff. At this time, we will open the call to questions. Operator, please queue up the first question.
Operator: Yes, sir. [Operator Instructions] Our first question comes from the line of Francesco Pellegrino of Sidoti & Company. Your line is now open.
Francesco Pellegrino: Good morning, guys.
Jeffrey Sanfilippo: Hey, Francesco.
Francesco Pellegrino: So, the top line looked really good and then it looks like it was paired really well with some strong - I know, the number is down 9%, and I was hoping just to get a little bit of color on that. If I back out the almond butter business from the year ago period and the extra week, do I really get like volume up 3% to 4%?
Michael Valentine: Yes, that would be correct.
Francesco Pellegrino: Okay. I guess, when you guys reported your third quarter couple of months ago, it was a really strong third quarter. And I may be think that the sell-side, it was a little bit of a head shake for us, because margins were so strong? I don’t know if you could maybe comment on the relative strength of this fourth quarter, or just how impressive the third quarter really was. Sometimes when I think about the business, I try to understand how - just how seasonally weak the third quarter is. And I guess, there’s not much of a sequential read through as I would have thought, and just maybe a little bit of commentary would be helpful about that?
Michael Valentine: Okay. Well, you’re correct, we certainly had a great third quarter in respect to gross margin, certainly, the - probably the best we ever had for a quarter like that. And typically, we do see margin increase from Q3 to Q4. I think the reason why we flattened out there primarily it’s attributable to a shift in volume towards our contract packaging channel, where we typically have a different margins compared to what we would get, say, for example, consumer products.
Francesco Pellegrino: Okay. So the shipping contract packaging historically on these calls, you’ve given us the percent change in a branded and private label volume sales, you don’t happen to have those, do you?
Michael Valentine: No, I don’t.
Francesco Pellegrino: Okay. I was backing into just given some of the information in the 10-K that it looked as if branded consumer dollar sales were down about $12 million year-over-year, and I suspect the majority of that is due to the customer issue and the elevated inventory that they’re looking to reduce that you called out in the press release for Fisher pecan and walnut inventories. Can you just help us to quantify how much of this $12 million decrease is attributable to this one customer?
Jeffrey Sanfilippo: I would say, it’s significant. I can’t give you a specific percentage, but I would say, it’s definitely majority of that volume.
Francesco Pellegrino: Okay. The only reason why I ask is because the - your Fisher recipe nut shipment change, I guess, the change in volume shipped being down 20%, I mean, the JBSS at retail though, recipe nuts were up 12% and that’s a volume number. And I’m wondering and you may - might have given this to us. Was there any significant discounting with this one retailer to sort of get off the elevated inventory that they had that they maybe had some significant price discounting at retail that sort of pushed a little bit more volume that sort of inflated that number? And I do realize that your performance at retail always exceeds the category. So it was just a general question and not as much as me suspecting something?
Jeffrey Sanfilippo: Sure. Yes, there was no change in our - we didn’t discount that inventory that was at the retailer for this year.
Francesco Pellegrino: Okay.
Jeffrey Sanfilippo: Yes, and then really the big gap is between consumption numbers and what we shipped during the year earlier. So there was such a huge build up in inventory at the retailer that really throughout this whole of Q3 and Q4, they’ve been cycling against the inventory that they’ve had that we ship them back in say November/December.
Francesco Pellegrino: Okay. I guess, I get, I understand why the gross margin wasn’t as lucrative as I thought it could have been given the product mix shift away from the branded towards maybe some private label and contract packaging. It looks like branded dollar sales represented 28% of the consumer channel, which was down from about 35% a year ago. And I guess, my question to you is, if we just stay on these industry metrics and sort of peg them against your shipment numbers, I know you’re saying that you expect this inventory issue at this one customer to be resolved at the end of the first quarter? But your decline in shipment pounds for the recipe nut category was down significantly even though retail both at the category level and for Fisher performed really well. And I’m just wondering it maybe inventory channels are setting you guys up for maybe this problem to be resolved sooner rather than later at this customer and also for a really strong first quarter?
Jeffrey Sanfilippo: That’s very possible, but just - we’re just starting to see orders coming now for the new holiday season. It’s already August - end of August and so it’s a little bit earlier than anticipated. So it’s possible that the inventory levels are much lower and now we should, we’re confident that we’re going to see a strong holiday season. It’s going to be a matter of timing and when that takes place. We believe the inventory levels that have been at retail have been depleted for the most part.
Francesco Pellegrino: Okay. And just one more question before I jump back into queue, but I have some follow-up questions about inventory. Is the timing of the special dividend, historically, you guys have made the announcement, I think, during the - is it the first or the second quarter that you announced it and then it’s paid out?
Jeffrey Sanfilippo: Yes. So typically, we’ve done it at our shareholders meeting in October, or end of October beginning of November when we have our stockholders meeting. So the goal now is to have that discussion with the Board of Directors in Q1 of the year, and then have it announced earlier than waiting till the stockholders meeting in October.
Michael Valentine: And that’s for the special dividend.
Francesco Pellegrino: Yes. So it just seems as if there is some higher level of risk that’s being taken into that type of decision, because if you received volume product in the second quarter and you paid it off in the third quarter, you’re sort of making a forecast on where you expect your inventory levels to be before you’re even - before you even start receiving product. And if you just waited a couple more quarters, it just seems as if you could significantly take out a large portion of risk to the business model and the timing of the special dividend?
Michael Valentine: That is true, Francesco. However, we’re at a point now where we have so much availability on our line, where we can afford to move that special dividend timing up.
Francesco Pellegrino: Okay. I’m going to jump back in queue, but I have some follow-up questions.
Jeffrey Sanfilippo: All right. Thanks, Francesco.
Operator: Thank you. Our next question comes from the line of Mitch Pinheiro of Costello Asset Management.
Mitchell Pinheiro: Hi, good morning.
Jeffrey Sanfilippo: Good morning, Mitch.
Mitchell Pinheiro: Thanks for taking the questions. I had a couple. You’ve given out before exact that your price per pound, or I guess, you showed an entire presentation is that since 2011, prices been up quite substantially. Where does that number stand in fiscal 2017? Would you have that number based on the IRi numbers? Or did you give that? I mean, it was $6.07 per pound in fiscal 2016, I was wondering where that ended so far for you this year?
Jeffrey Sanfilippo: Which - I think, are you talking Fisher recipe, Fisher snack?
Mitchell Pinheiro: Retail prices, it’s in general in the nut category?
Jeffrey Sanfilippo: Yes, so…
Mitchell Pinheiro: I guess, it’s broad, broad-based, I guess, this is.
Jeffrey Sanfilippo: Yes, total category is - current year is $6.02, so it’s down actually. Total category is down $0.07 a pound.
Mitchell Pinheiro: Okay. And I guess, what - I guess. Okay, that was - what - so, the category being flattish as measured - in the measured channels, are you seeing unmeasured channels take share? I would think that nut should - should see a nice steady increase, but it’s kind of flattish this year, so any thoughts on that?
Jeffrey Sanfilippo: Sure. So we do see some shift to retailers that do not report its IRi. There’s sort of some shift that we’re noticing there, some of the dollar store channel, some of the lower discount retailers. We’re seeing some shift there. Club stores still do well. There’s a little bit of a shift from grocery to club, and then the e-commerce factor, which is difficult to measure as well.
Mitchell Pinheiro: When you measure your - when you talk about your measured channel share, how different are some of these alternative channels? Your share, how different?
Jeffrey Sanfilippo: Our JBSS share in some of these channels?
Mitchell Pinheiro: Yes.
Jeffrey Sanfilippo: Is that the question?
Mitchell Pinheiro: Yes.
Jeffrey Sanfilippo: Yes. So we’re actually relatively small in alternative channels, that’s one of our focus with our strategy of expand consumer reach is to enter the dollar store channel, where we’re very - we have limited distribution. E-commerce, I mentioned on the call, that we’re expanding our efforts in e-commerce. Club store channel, another area where we’re not that strong yet, but we’re making inroads there. So a lot of opportunity in the alternative channels and really following where consumption is shifting. That’s one of our key focuses for growth.
Mitchell Pinheiro: And is there a geographic opportunity, I mean, obviously, I’m here on the East Coast and I don’t see Fisher as much as I think I ought to. Can you talk about that a little bit?
Jeffrey Sanfilippo: So the East Coast side, I’ll be the first to admit, it’s always been a challenging market for us, it’s very expensive market to get into. But you will start seeing Fisher recipe nuts on the East Coast. We’ve got some new distribution. There’s some significant retailers. We still have not tapped into on the East Coast that we’re working on, and so huge opportunity on the East Coast for us in recipe and also snacks, very little distribution on the snacks side with Fisher, but you will start seeing Orchard Valley Harvest as well on the East Coast with some new distribution gains.
Mitchell Pinheiro: And does it - so is it, I mean, obviously, the economics work fine in the other parts of the country. Is it that onerous of, or of a margin hit to expand, I think, it would - wouldn’t it be beneficial to the overall brand presence to have more distribution in the East?
Jeffrey Sanfilippo: Sure, sure. I know we’re focused on it. There’s some challenges. There’s - there are retailers that have contractual obligations with some of our competitors that have been a challenge to get new distribution. We’re overcoming some of that now. But it is an expensive market some of the slotting that we’ve come up against is pretty severe in some cases. So we’ve just been very, very conservative as far as our investments there. But now that we’ve got such a strong brand success story with both Fisher recipe and Orchard Valley Harvest much more willing to make some of those investments.
Mitchell Pinheiro: Okay. And just another question. As you look at 2018, I mean, and thank you for your - the detail is very nice. I appreciate your transparency. But is the - how do you see - what’s the sort of the narrative here for fiscal 2018 with regard to how the walnut and almond crops are looking? And where you think pricing generally is going to head? Can you give us a little sense for that, at least, for the part that you can see maybe the first-half of the year? And understanding that, you’re lapping the almond butter issues, so it would be very helpful to hear a little bit about just some soft narrative on that?
Michael Valentine: Okay, Mitch, I’ll take that. This is Mike. In respect to almonds, we’re projecting almond prices that are pretty similar to where they opened up last year. We’re looking at another record crop. Shipments are strong on almonds, both domestically and export, but I think, they’re pretty much in balance and consequently right now, we’d say that they’d relatively unchanged. Walnuts are, even though we’re going to get another record crop, actually a huge crop on walnuts, we think we don’t really see potential for acquisition cost decreases there yet, again, because exports on inshell walnuts have just been incredible over the last 12 months. Then on pecans, we have a - finally are going to see what could be a 300 million pound crop here in the U.S., which indicates was that - there’s possible cost increases there. However, there are some issues in Mexico with drought there. And if it’s severe, then that may offset the pound gain on pecans that we may see flat prices on pecans.
Mitchell Pinheiro: Okay, it’s very helpful. And then, I said, last question, but some of these margin, I mean, I know on a percentage margin things move around based - just based on, it’s more of a volume picture than it is anything else. But with the cost savings that you talk about, obviously, if you can get some volume growth in the right mix, margin should continue to inch higher. I mean, is that - do you see any issues with that in 2018?
Michael Valentine: Well, I’ll take this one and then you can follow-up, Jeff. Of course, for margin - it’s critical that our volume gains occur in the nuts that we shell. So if we can get Fisher recipe back on track with volume gains, especially in walnuts and pecans and that can really help boost our margins. Same with peanuts can, because we shell all tree nuts. We have a lower cost structure than most in the marketplace have. So that would be critical in getting that margin growth.
Jeffrey Sanfilippo: Yes, I would just add that. yes, we’re working with a lot more operational efficiency initiatives for cost savings to the supply chain, so we’re focused on that. The focus on value-added products and our brand has been critical too, and so shifting some of that lower margin business to more branded value add is another focus. The big wildcard though is some of the huge fluctuations in pricing for crops. We’ve done much better. I think we’ve done a great job this past year with managing that from a pricing standpoint and aligning our cost, but that’s just the one wildcard. We don’t see yet is what’s going to happen with the crop prices coming out.
Mitchell Pinheiro: Right. Okay, thank you very much for the questions.
Jeffrey Sanfilippo: Sure. Thanks, Mitch.
Operator: Thank you. Our next question comes from the line of Stefan Mykytiuk of ACT Asset Management.
Stefan Mykytiuk: Hey, good morning. Stefan Mykytiuk from ACK, how are you?
Jeffrey Sanfilippo: Good morning. Good.
Stefan Mykytiuk: Hey, just a few things. One, I guess, the strength in private label, I know earlier in the year you had some weakness in - with some customers in private label where they shifted the product around in the store or changed label, things like that. Is this - was the strength in this quarter, was that at those same customers, i.e., are those customers kind of improving their merchandising on the private label side, or with these new customers?
Jeffrey Sanfilippo: Yes. So with some of the customers that were struggling have done some positive changes. We saw some of the impact in Q4 on those shifts, so it’s probably - the significant part of it is from changes they’ve made. But some of it is new business or expanded business with current customers, so it was a combination, but significantly the ones that needed to turnaround or turning around.
Stefan Mykytiuk: Got it, okay. So that those are kind of normalizing, that was my question?
Jeffrey Sanfilippo: Yes, correct.
Stefan Mykytiuk: Okay. And then, on -just Mike, normally you talked about strength in the contract - yes, contract manufacturing volumes and as for some of the mix shift in the gross margin. But I was little surprised, your selling expenses were up year-over-year, which I would have thought with higher volume in contract manufacturing that typically there’s not much selling. So can you just explain why the selling expenses were up?
Michael Valentine: I think the main driver there was freight expense compared to last year, which is probably driven by higher gas or diesel prices than we saw 12 months ago.
Stefan Mykytiuk: Okay, all right. But it wasn’t - was there any - was the private label - the strength in private label driving any of that? Do you have to do any kind of marketing or selling expense, or in-store signage, or in-stuff around the private label?
Michael Valentine: No, not for that business not at all.
Stefan Mykytiuk: Okay. So it was just overall freight was higher because of fuel prices?
Jeffrey Sanfilippo: Right.
Stefan Mykytiuk: Okay, got it. And then based on what you were seeing - you’re seeing on nut rate, does it feel like nut - a year ago, we were talking about nut prices coming down dramatically, the outlook you just gave was for a kind of stable prices going forward, if I got that correct. So what does that imply? Last year, you had a huge drawdown of working capital, and this year, you ended the year a little higher and inventory was a little higher. So have we seen - is working capital kind of a push go-forward, or what’s your outlook there?
Jeffrey Sanfilippo: Right. It does react to acquisition costs. So right now we’re calling acquisition costs relatively flat, which means working capital should mirror that.
Stefan Mykytiuk: Got it. So maybe earnings of free cash flow, we didn’t talk about your CapEx expectations for the year, but should we think about free cash flow kind of being equal to net income now?
Michael Valentine: Yes, we’re not predicting any significant increases in capital expenditures.
Stefan Mykytiuk: Okay. What was it for the year?
Michael Valentine: I think we ended up at about $10 million - a little over $10 million.
Stefan Mykytiuk: Okay. And is fiscal 2018 kind of pegged around the same?
Michael Valentine: Yes, that will be a little bit more, but it won’t be significantly higher just based on our CapEx investment plan that we currently have.
Stefan Mykytiuk: Got it. Okay. All right. Thanks very much. I appreciate it.
Michael Valentine: Thank you.
Operator: Thank you. [Operator Instructions]. We have a follow-up from the line of Francesco Pellegrino of Sidoti & Company.
Francesco Pellegrino: All right, guys. So I just want to dig a little bit deeper into inventory and see what like the read through is for our fiscal 2018. And if I remember this time last year on the fiscal 2016 call, the story line was as, I guess, Stefan had pointed out lower nut prices was going to drive higher volume sales at retail. However, that just like didn’t really materialize just due to some like specific issues with customers whether it was a last almond butter business, or what ended up being the elevated inventory levels at this one customer. And historically, you’ve given us the pound volume change in inventory, and I noticed we didn’t get that this year. Do you have it in millions of pounds?
Jeffrey Sanfilippo: I want to say that our raw input stocks were up about 7 million pounds.
Francesco Pellegrino: Okay. That just seems like a lot right now.
Jeffrey Sanfilippo: Well, about half of - one of the things we undertook in fiscal 2017 was to basically slowdown the pace of shelling walnuts and pecans. So as a consequence of that, we have more in shell inventory compared to shell inventories. So roughly about half of that increased pounds really is attributable to the shell, walnuts and pecans as they run roughly 50% means 50% shell. We did that. We took that measure to improve the freshness of both pecans and walnuts. So when I say, our input stocks were up 7 million pounds, if you compare that to last year on a shell basis, it’s really up more like 3 million pounds to 3.5 million pounds.
Francesco Pellegrino: Okay. Okay, that seems a little bit more reasonable. But if we dig a little bit deeper into it, in the press release, you guys call out that inventory you’re sitting on higher levels of almond inventory volumes. You’re not vertically integrated for almond. So I mean, are you being opportunistic? Are you making a directional bet on the almond market right now? We still haven’t even fully lapped the last almond butter business. So just to see that being up even though you had known about losing it during the fourth quarter of last year that you’d be losing it two quarters ahead. It just seems like you could be potentially sitting on a lot of almonds?
Jeffrey Sanfilippo: No, actually our almond volume is rising. We saw signs of that in June, and we’re anticipating that to be sustainable with just new almond business that we’ve acquired. So that’s why the almond inventories are up.
Francesco Pellegrino: Okay. And I guess, the other issue with the inventory maybe not so much an issue, but you highlighted higher acquisition costs for pecans and peanuts, peanuts that you’re vertically integrated for. And when I just think historically speaking at least during periods of time of high nut prices or nuts that you’re vertically integrated for, you might not get the margin expansion, but you’re going to get higher gross profit per pound on those nut. Is it correct to think that for specific nuts since you’re vertically integrated for pecans and peanuts that this could sort of help on the - I wouldn’t think on the gross margin line - well, on the gross margin line for each product category, not collectively, I guess?
Jeffrey Sanfilippo: That is true. Let’s talk about it more in terms of gross profit as opposed to gross margin. When we do have higher nut markets, we tend to see higher gross profit dollars per pound on the nuts we shell. But the critical thing is that those markets stay up.
Francesco Pellegrino: Okay. That’s what I figured. That’s it for me. Thanks again, guys.
Jeffrey Sanfilippo: Okay. Thank you.
Michael Valentine: Thank you, Francesco.
Operator: Thank you. I’m not showing any further questions at this time. I would now like to pass the call back to Mr. Michael Valentine for any closing statements.
Michael Valentine: Okay. Thank you, Geronimo. Before we end the call, please note that we will be presenting at the Sidoti & Company Fall 2017 Conference in New York on September 28. We will be posting an updated Investor Presentation on our site that day, so please keep an eye out for that. Otherwise, again thank you, everyone, for your interest in JBSS, and this concludes the call for our fourth quarter and fiscal 2017 operating results.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program, and you may all disconnect. Everyone have a great day.